Operator: Good morning and welcome to the Chart Industries, Inc. 2016 Third Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. As a reminder, today's call is being recorded. You should have already received the company's earnings release that was issued earlier this morning. If you have not received the release, you may access it by visiting Chart's website at www.chartindustries.com. A telephone replay of today's broadcast will be available following the conclusion of the call until Thursday, November 3. The replay information is contained in the company's earnings release. Before we begin, the company would like to remind you that statements made during this call that are not historical, in fact, are forward-looking statements. Forward-looking statements involve risks and uncertainties that could cause actual events or results to differ materially from those expressed or implied in the forward-looking statement. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the information regarding forward-looking statements and risk factors included in the company's earnings release and latest filings with the SEC. These filings are available through the Investor Relations section of the company's website or through the SEC website, www.sec.gov. The company undertakes no obligation to update publicly or revise any forward-looking statement. I would now like to turn the conference call over to Ken Webster, Chart Industries' President and CFO. You may begin your conference.
Kenneth J. Webster - Chart Industries, Inc.: Thank you, Shannon. Good morning, everyone. I would like to thank all of you for joining us today. I will begin by giving you a brief overview of our third quarter results and outlook for the remainder of 2016. Then Sam Thomas, Chairman and CEO; and Bill Johnson, President and COO will provide comments on current market and order trends we see in each of our business segments. Net income for the third quarter of 2016 was $15 million or $0.48 per diluted share. This included severance cost from cost reduction initiatives, acquisition-related retention and asset impairment charges recorded in the quarter of approximately $1.5 million. Excluding these items third quarter of 2016 earnings would have been $0.53 per diluted share, this compares with net income of $4.8 million or $0.15 per diluted share for the third quarter of 2015. Third quarter of 2015 earnings would have been $0.26 per diluted share excluding the $0.11 per diluted share impact of the Owatonna facility shutdown, severance cost from cost reduction initiatives and acquisition-related retention. Sales for the quarter were $203.9 million, a decrease of 22.8% from the prior year quarter. This was largely due to a decline in our energy-related sales in Energy & Chemicals or E&C business as customers continue to delay projects and competitive pressures remain in this challenging market. Our gross profit for the quarter was $69.6 million or 34.1% of sales compared with $68.3 million or 25.9% of sales in the prior year quarter. Overall gross profit was up largely due to an insurance recovery related to the prior AirSep acquisition. This represents partial recovery of losses experienced over the past several years within BioMedical associated with higher than anticipated warranty claims experienced in certain AirSep product lines. We have corrected these legacy warranty issues, which is reflected in the higher margins of the past few quarters as our accrual for future warranty expense is more in line with expectations when we acquired the business. Excluding the insurance recovery during the quarter, gross profit would have been 26.7% of sales, which is still up compared to the prior year quarter due to improved margins in the Distribution & Storage or D&S business and BioMedical segments. Additionally, the third quarter of 2015, D&S margin included restructuring costs and inventory reserves that negatively impacted the margin. Orders received in the third quarter totaled $201.2 million and were down 25.5% from second quarter 2016 primarily due to a number of large projects that were received in the second quarter in D&S, including an $8 million order for storage tanks at an LNG Terminal in Gibraltar, a $16 million order for an emerging energy application, and $5 million order for the remaining portion of the Indian LNG import terminal award that was split between the first and second quarters. Backlog at the end of the third quarter was $384.4 million which is down 2.1% from the second quarter 2016. In the E&C business sales decreased 69.8% to $23.7 million for the current quarter compared with the third quarter of 2015. The decline was due to continued weakness in upstream natural gas processing, petrochemical and LNG markets. Gross margins were 7.6% in the quarter, compared with 23.4% in the same quarter of 2015. The decrease in margins is related to the competitive environment pressuring margins on the few available projects that are moving forward, and lower overhead recovery as result dramatically lower throughput. In our D&S business, third quarter sales decreased 2.3% compared to the third quarter of 2015, to $126.6 million. This decrease is primarily due to lower LNG sales in Asia and the U.S., as well as currency with the weakening Chinese renminbi. Partially offsetting these reductions are improvements in Europe which is continuing to see very healthy downstream LNG activity. The D&S gross margins were 26.4%, compared with 23.9% in the prior year quarter. The margin increases due to favorable product mix and increased efficiencies in the U.S. and Europe, as well as lower restructuring costs of prior year included costs associated with the shutdown of our Owatonna, Minnesota facility. In BioMedical, sales decreased 4.5% year-over-year to $53.6 million due to lower U.S. and European respiratory sales. These decreases were partially offset by continued strength in our life sciences product lines. BioMedical gross profit margin increased to 64.2% in the quarter compared with 33.8% for the same period 2015. As I mentioned earlier, this is due to an insurance recovery we received related to our AirSep acquisition. Excluding the impact of the recovery, BioMedical margins would be 35.9%, which is up due to product mix and lower warranty expense. SG&A expense for the quarter was $45.4 million down $2.7 million or 5.6% compared with the same quarter a year ago. The decrease was largely due to a lower restructuring related expenses and the impact of cost reduction initiatives around payroll and discretionary spend. These decreases were partially offset by higher variable short term compensation expense reflective of our improved operating income this quarter given the favorable impact from the insurance recovery. We also recorded $1.2 million worth of asset impairment charges during the quarter related to our D&S Asia business given continued softness in this market. The income tax expense was $1.8 million for the third quarter of 2016 and represented an effective tax rate of 11.4% compared with expense of $6.1 million in the prior year quarter or an effective tax rate of 58.8%. The insurance recovery received during the current quarter is considered an adjustment to our purchase price of AirSep shares and as such as is not currently taxable, which contributed to the lower rate. In addition, the prior year quarter's rate was unusually high as a result of our reserve against certain accumulated tax loss balances, which made up 15 percentage points in the prior year quarter. Moving on to our outlook for the remainder of the year given our year-to-date performance and forecast expectations. We are narrowing our sales guidance to be in the range of $850 million to $875 million and diluted earnings per share to be in the range of $1.20 to $1.30 a share on approximately 31.1 million weighted average shares outstanding. This excludes the impact from any restructuring costs and assumes an annual effective annual tax rate of 31%. I'll now turn the call over to Sam Thomas.
Samuel F. Thomas - Chart Industries, Inc.: Thank you, Ken, and good morning, everyone. Despite lower earnings for the year, we continue to generate significant operating cash adding $59.8 million during the third quarter. Our working capital improvement initiatives, reduction in capital expenditure and the non-cash nature of some of our operating expenses have had a meaningful impact on free cash flow. During the quarter, we benefited from the successful recovery of past warranty related costs associated with our 2012 acquisition of AirSep. Since the acquisition we have incurred higher warranty expenses and satisfaction of more warranty claims than initially expected, as our operations and balance sheet have been impacted by this since the acquisition we have now adjusted this out of our earnings during the quarter. We have corrected these legacy warranty issues and are rebuilding our reputation in the marketplace. We're investing in product development along with sales and marketing efforts to reestablish our respiratory product lines' market position. Within energy markets, downstream LNG opportunities continue for our D&S U.S. and European operations. As new LNG production capacity comes online, our D&S operations will reap the benefits through our diverse product offerings. Although currently LNG oversupply continues to negatively impact our E&C business, we are seeing opportunities with quoting activities for a handful of new natural gas processing plants and feed studies for modular mid-scale LNG export facilities. We remain encouraged by the progress and constructive discussions with customers on a growth of our new Lifecycle business. From a capital allocation standpoint, a major component of our overall growth strategy remains acquisition activities. Our growing cash on hand of $267 million, coupled with zero borrowing against our $450 million revolving credit facility, enables us to asses some interesting investment options in the pipeline. Let me now turn the call over to Bill Johnson.
William C. Johnson - Chart Industries, Inc.: Thank you, Sam, and good morning, everyone. In my first 90 days I spent a lot of time getting to know the business and understanding our operation. But also working on initiatives to streamline our operation to make them more efficient. You'll be hearing more about this in the coming quarters as we began implementing some of those initiatives here in the fourth quarter. As our business and leaders prepare for the annual plan in the coming months, I've challenged the groups with identifying new ways to expand revenues and focus on productivity initiatives. It is evident that we can expand this energy downturn. So we will focus on expanding our profits irrespective of market recovery timing. Let me now comment on specific highlights for each of our businesses. During the third quarter, our E&C business booked $27.9 million in orders, which is down from second quarter 2016 orders of $53 million. Prior quarter included record levels of short lead time projects that we received and shipped in the same period. Excluding these short lead time projects, order levels remain relatively flat in the current period. Our biggest challenge within the E&C continues to be winning awards as backlog has dipped to levels last seen in 2010. Approximately 35% of the E&C backlog relates to the Magnolia LNG project that has been delayed until mid-2017. During the quarter, we also had $5.3 million of canceled orders primarily related to LNG liquefiers in China. Despite the current pause seen in the market place, we remain heavily involved with our customers. For example, we're conducting a few key feed studies for customers that could lead to future orders for large projects. We are also inspecting customer plans for preventive maintenance opportunities and entering into service agreements through the Lifecycle business. During the quarter, we executed several master service agreements with large midstream of petrochemical companies. As Sam touched on earlier, the Lifecycle addition to the E&C portfolio has brought about a number of proactive opportunities for us, which is helping partially offset the market conditions we are currently facing. With E&C's longer lead times and backlog visibility, we were able to plan accordingly for this market pause. Over the past year, we implemented lean initiatives; facility re-layouts, and plant consolidations to help minimize the financial impact of this downturn. We expect to implement similar process improvement projects next year in other areas of the business. At our D&S business, we booked orders of $121 million in the third quarter, down 22.4% from our second quarter 2016 orders of $156 million. The prior quarter included a number of large orders in the U.S. and Europe, which included a couple of sizable LNG import terminals, as Ken previously mentioned. The current quarter included $9 million for LNG terminals out of our operation in Czech Republic. Backlog for the quarter decreased 2.5% to $246.2 million. Again this September, our D&S European operations had record backlog. Achieving the necessary throughput to execute on the backlog has – leveraging available E&C resources, including assigning key engineers and project managers to these projects. Within D&S Asia gross margins were negatively impacted during the quarter as we increased our excess and obsolete reserves on balance sheet due to industrial and commodity deflation. We are also modifying inventory for customers in order to deal with the changing regulations for LNG fuel stations. As for D&S in the U.S., we continue to monitor the potential impact of customer consolidations within the industrial business; including potential customer excess inventory and pricing pressures after the integration efforts are finalized. Our North American D&S business is performing well, as we benefit from our reputation for quality and reliability. We continue to benefit from our cost reduction initiatives to driven margin improvements. Moving to BioMedical, third quarter orders of $52.3 million were down from $61.2 million in the second quarter of 2016, as we received a $6.7 million award to supply military oxygen concentrators in North America as well as a strong respiratory tender orders in Europe in the prior quarter. Within respiratory, we are investing in a space that we fully expect will sustain long-term growth driven by a growing global prevalence of COPD and other lung diseases. We are focusing our efforts on new product innovation and quality as well as making significant changes to the organization in terms of sales and customer engagement, as well as operational efficiency. We're also very encouraged by our continued success to grow our position in China. In the prior quarter, we highlighted record sales volumes we've seen in the life science segment in BioMed. This continued into the third quarter especially with our cryo biological freezer line with continued strength in our new Eco and Vario product lines. However, this strength was offset by market weakness for aluminum doors into the artificial insemination market. With that, we'd now open it up for questions. Shannon, please provide instructions to the participants to be able to ask questions.
Operator: Our first question is from Eric Stine with Craig-Hallum. You may begin.
Eric Stine - Craig-Hallum Capital Group LLC: Good morning, everyone.
Samuel F. Thomas - Chart Industries, Inc.: Good morning, Eric.
Eric Stine - Craig-Hallum Capital Group LLC: Just wanted to clarify your commentary there related to industrial gas and the consolidation in the market. And I guess asking this, given that it looks like your D&S orders were at their lowest levels since 2012, Aae you seeing any impact now or is it something that – it's a wait and see, and you haven't seen it yet but you possibly do as you get into 2017?
Samuel F. Thomas - Chart Industries, Inc.: I'd say it's a wait and see; there may be some effect in the third quarter. We had particularly strong orders in North America D&S in the second quarter. So not overly concerned at this point.
Eric Stine - Craig-Hallum Capital Group LLC: Okay, got it. Maybe just turning to your quoting activity you mentioned petrochemical and some ongoing feed studies. Just curious how that has changed? I know you've been doing a lot of those feed studies or some of them for some time. Have you seen any pickup in that activity now that you've seen a little bit better conditions in energy markets? Curious on that, but also we'd like your thoughts on, when you look at the price of oil, I mean, is it the price that's more important, or is it stability that's more important for a lot of these things moving forward?
Samuel F. Thomas - Chart Industries, Inc.: Well, anecdotally I would say that things are progressing and we get more positive vibes from around end customers, as well as our customer base of proceeding with projects to be ready to launch them. To respond to your question about oil price or oil stability, I don't know when we talked about the increasing quoting activity for natural gas processing. The last two quarters – the prior two quarters had gone to virtually zero and there was reports of complete standardized – standard sized plants being in inventory. As we see activity pick up in the Permian Basin that does seem to be driving these new increase and discussions for gas processing plants. So I'd say it's a bit of both stability and price that as the oil services industry and production companies find ways to reduce the cost of drilling wells and bringing new production into place it does require additional gas processing capability.
Eric Stine - Craig-Hallum Capital Group LLC: Got it. Maybe last one from me just related to the LNG outlook, starting to hear more about supply potentially getting tight in the 2020, 2021 timeframe. I mean is that kind of in line with your – I mean you've previously talked about that you think that that activity starts to pick up for you late 2017 and 2018. Is that still you're thinking or has that changed at all?
Samuel F. Thomas - Chart Industries, Inc.: That still seems to be pertinent, we hear from more and varied quarters that that's the progression particularly as you hear about floating LNG regas being introduced to new markets and new countries – new markets becoming LNG importers, I think that's a positive tenor for absorbing the – well, the new capacity that's come online and is coming online over the next couple of years.
Eric Stine - Craig-Hallum Capital Group LLC: Got it. Okay, thanks for the color.
Operator: Thank you. Our next question comes from Chase Jacobson with William Blair. Your may begin.
Chase Jacobson - William Blair & Co. LLC: Hi, good morning.
Samuel F. Thomas - Chart Industries, Inc.: Good morning, Chase.
Chase Jacobson - William Blair & Co. LLC: I was hoping you could maybe talk about the recent patent announcement there you got on your LNG technology. Can you maybe just talk about that a little bit and some of the opportunities, and does getting the final patent approval on that kind of open some award opportunities in the near-term that you're waiting on? Or I was hoping to get some more color there. It seemed like a pretty good positive for you guys.
Samuel F. Thomas - Chart Industries, Inc.: It certainly is and it's certainly gratifying to the folks in our team who have worked long and hard to develop our mid-scale offering. And the key feature here is that we have designed a robust, simple process which at the – anywhere from 0.25 million ton to 1.5 million tons per annum. LNG train size is able to effectively match the operating efficiency of the historic large scale 4 million ton to 5 million ton trains. But at the same time accomplish it as significantly lower costs of capital for ton of output. So it's exciting and it demonstrates – I think the path where it demonstrates that our guys have done something very creative so we'll accomplish that.
Chase Jacobson - William Blair & Co. LLC: Okay. And in the E&C business on the margin side of things, just obviously – it's a big drop off in volume, but you talked about pricing as well. Can you maybe, I guess, help us understand the dynamics between volume and pricing and kind of if you could roughly break out how each of those are affecting the gross margin to – try to give us a better sense of where that – what kind of level out going forward?
Samuel F. Thomas - Chart Industries, Inc.: That's a tough one. We struggle with that on a daily basis. But I think the best way to characterize it is to say that there are capacity constraints globally, in capacity at times of peak activity like 2011, 2012, 2013 and there is significant excess capacity, and a number of our competitors and we're not different in that. We should keep people employed and so they will quote jobs at marginal rates, if there is a shortage of work available. I think we are well into the downturn and trough, but I don't think any of us are confident to predict the trajectory coming out of the trough.
Chase Jacobson - William Blair & Co. LLC: Okay. And I guess we'll just have to see how that plays out. But on the M&A side, clearly the cash balance is improving. Your comments, I think, were a little bit more optimistic or – about acquisition activity. Any color on timing or kind of types of business as it sounds like maybe more service oriented? Is that a fair assessment, or any more color on the acquisition strategy would be great. Thank you.
Samuel F. Thomas - Chart Industries, Inc.: Sure. I think that timing is – with acquisitions is impossible to call, or very, very difficult. And so I won't try and do that. In terms of why we're more positive, I think we have seen – we are seeing a lowering of expectations as you get into the second and third year of downturn in terms of sellers' price expectations or their financial health causing them to be more interested sellers. So from that standpoint we're comfortable. In terms of where we are looking, we're looking at adjacent businesses, similar markets, and yes we are attracted to service or aftermarket related businesses, simply because we're suffering the effects of a capital – a capital spending downturn, which tends to focus your attention on looking at those businesses. I think that they can be very healthy and accretive additions to Chart.
Chase Jacobson - William Blair & Co. LLC: If you look at your E&C business and who the sales go to, whether it's the E&C company or the owner of the facility, do you feel that having a broader service offering is going to help you price in the future, on the new equipment side?
Samuel F. Thomas - Chart Industries, Inc.: I do, I think that we have – we gain a better understanding of our value proposition. And hence, make ourselves better connected to the end users and the value they get from our products. So the answer is yes.
Chase Jacobson - William Blair & Co. LLC: Thank you.
Operator: Thank you. Our next question comes from Rob Brown with Lake Street Capital. You may begin.
Rob Brown - Lake Street Capital Markets LLC: Good morning, thank you.
Samuel F. Thomas - Chart Industries, Inc.: Hi, Rob.
Rob Brown - Lake Street Capital Markets LLC: Could you clarify, did you say that – what portion of your E&C backlog is for the Magnolia project? And I guess, related to that what – how do you see that unfolding in the next year in terms of getting more orders in that project?
Samuel F. Thomas - Chart Industries, Inc.: 35% of the backlog is related to Magnolia. They have made positive sounds but it is delayed until mid-2017. It's difficult for them to quantify timing more precisely than that. We are assuming that it's dependent on satisfactorily getting offtake agreements.
Rob Brown - Lake Street Capital Markets LLC: Okay. Great, thank you. And then in terms of the insurance settlement, I just wanted to clarify, what sort of was the EPS number adjusting that out both in terms of the quarter in your guidance?
Kenneth J. Webster - Chart Industries, Inc.: It's – Rob, it's for the year, it's $0.50 a share; for the quarter, it's $0.52.
Rob Brown - Lake Street Capital Markets LLC: Okay, good. Thank you. I'll turn it over.
Operator: Thank you. Our next question comes from Nicholas Chen with Alembic Global Advisors. You may begin.
Nicholas K. Chen - Alembic Global Advisors LLC: Hi, thanks for taking my questions this morning. In Q2, the quick ship business in Lifecycle is obviously a bright spot. I'm just trying to figure out, did that have any impact on Q3's results?
Samuel F. Thomas - Chart Industries, Inc.: There was a contribution, yes, but clearly not nearly the same magnitude.
Nicholas K. Chen - Alembic Global Advisors LLC: Okay, thank you. And then just following up on something that we discussed last quarter, I think it was in late 2015, Worthington acquired a key competitor in the cryogenic space. We discussed that that created some level of market dislocation. I was just wondering, have you guys been able to capitalize on that at all and gain any market share?
Samuel F. Thomas - Chart Industries, Inc.: I think the positive results in our BioMedical, life sciences business are partially due to that and our, both and within D&S, our North American packaged gas and bulk gas businesses I believe have benefited from that.
Nicholas K. Chen - Alembic Global Advisors LLC: All right, great. And final question, I was hoping you could provide a little bit of color on sort of the market conditions you're seeing in China right now?
Samuel F. Thomas - Chart Industries, Inc.: Ugh, is probably the most apt description. It's tough, industrial activity is low, there's lots of capacity available so pricing is challenged, but there are peripheral competitors disappearing. So the market is consolidating. There is slightly more optimism that this is the worst of it, but the Chinese having seen so much growth for so long tended to be much more optimistic in the phase of declining conditions than in most other parts of the world. So, I would say, we are there in China, we are committed to being there long-term and being a significant competitor in our businesses, but it's not for the faint-hearted in the short time – short term.
Nicholas K. Chen - Alembic Global Advisors LLC: Got it, thanks so much. I'll jump back into the queue.
Operator: Thank you our next question is from Jeff Osborne with Cowen & Company. You may begin.
Jeffrey Osborne - Cowen & Co. LLC: Hey. Good morning, guys. I just had a couple of questions on the E&C side. So obviously you talked about the pick up in quoting activity, but what are you hearing from the people you are doing the quoting for in terms of their ability to sign off, take, and get financing?
Samuel F. Thomas - Chart Industries, Inc.: They are perpetually optimistic, but there does seem, as we talked to off-takers, end users, the utilities and the gas traders. They do seem to be acknowledging that while they're not in a rush to sign offtake agreements that we're moving towards period where they will have – they will need to make decisions that will be appropriate for them to enter into an agreements. But you should interpret my comments as there is still uncertainty as to when that will happen.
Jeffrey Osborne - Cowen & Co. LLC: Got it, makes sense.
Samuel F. Thomas - Chart Industries, Inc.: (34:06)
Jeffrey Osborne - Cowen & Co. LLC: Okay. And then just beyond Magnolia are there any other chunky projects in the backlog and then also related to that is there any deposits that kind of expire that might flow through the P&L on a highly profitable basis over the next 6 to 12 months? Just trying to get a sense of the E&C pipeline beyond Magnolia you talked about that one and then – and more importantly the income statement impact if some of these things that you won in the past just don't happen.
Samuel F. Thomas - Chart Industries, Inc.: In terms of backlog or significant deposits the answer is no to both questions. In terms of pipeline, of discussions for future projects which are not yet reflected in backlog or are not yet orders, activity has improved.
Jeffrey Osborne - Cowen & Co. LLC: That's good to hear. And one quick one, you mentioned in the prepared remarks there was a change in the – the fueling standards for stations and the regulations there and an inventory adjustment – which market specifically was that quarter and what was the nature of the change?
Samuel F. Thomas - Chart Industries, Inc.: That's China and we have constructed a significant number of fully skidded LNG stations, which can be popped on site for both for truck – for heavy duty truck fueling. We were the initial developer of this for a couple of the national oil, Chinese national energy companies. And developed in conjunction with them, as they went into service, provincial governments and the national government stepped in and set different standards than we had originally built to. We had some inventory of those stations because we went from a rapid ramp up to a halt being called, leaving us with the inventory in order to put them into the marketplace now they have to be modified to meet the current standards.
Jeffrey Osborne - Cowen & Co. LLC: Got it. Perfect. I appreciate all the details as always. Thank you.
Samuel F. Thomas - Chart Industries, Inc.: Thank you.
Operator: Thank you. Our next question is from Pavel Molchanov with Raymond James. You may begin.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Thanks for taking the question, guys. Along the lines of what I think one of the prior guys asked, Venture Global, where is that in your pipeline/backlog/expected timetable?
Samuel F. Thomas - Chart Industries, Inc.: It's not in our backlog; it is in our pipeline of potential projects going forward. And to the best of my knowledge, it's dependent on, as all of the other LNG projects are; it's dependent on signed offtake agreements to proceed.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Right. And so for Magnolia, you have a fairly precise time table in mind, you said delayed until middle of 2017, I guess two things, can you first remind us what the dollar value is potential for Venture Global, and secondly is there any kind of timetable for that one that you can anticipate?
Samuel F. Thomas - Chart Industries, Inc.: Yeah, on the dollar value what we've said it was roughly 35%, which would be in the $35 million, $40 million range in backlog. And with respect to timing I don't have better information because the customer is dependent on signed offtake agreements, to my knowledge.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay. Fair enough, I appreciate it guys.
Operator: Thank you. Our next question is from Matthew Trusz with Gabelli & Company. You may begin.
Matthew Trusz - G.research LLC: Good morning, guys, thanks for taking my question. So, if we turn to BioMedical, I guess given the strength in life sciences, the revenue is decreasing. Can you give us a better sense of what your outlook is in like for about the respiratory healthcare market relative to underlying growth rate of volumes versus pricing; and any brand equity issues with AirSep and how you are lapping them and then what the timeframe is for recovering there?
Samuel F. Thomas - Chart Industries, Inc.: I think in terms of timeframe for recovery, you can look at the fact that we had deteriorating market position for a full three-year time period from the acquisition of AirSep and achieving a meaningful recovery. I would expect it to be a similar timeframe to get back to the market position we had. In terms of other indicators of the growth, we can expect that market we view as having high single digits to low double digit market growth rates. Slightly lower growth rates inherent for the life science or the biological storage portion of that business, in the sort of 5%, 6% growth rate. For the portion we singled out in artificial insemination that tends to track dairy production and milk prices, which currently are depressed after many years of significant growth. And to my knowledge, both periods of depressed milk prices have had 6-month to 24-month durations. So it's positive with the exception of near term artificial insemination results being flat or down slightly.
Matthew Trusz - G.research LLC: Thanks for all the color. And then I guess just sort of embedded in that segment. Have the industrial on-site generators been much of a drag?
Samuel F. Thomas - Chart Industries, Inc.: I wouldn't term them a drag but I would say that sales have been in flat, most of our upticks have come from larger size projects, which perhaps 10% to 20% of the total sales in a given year. And those projects have been slow in coming forward in 2016.
Matthew Trusz - G.research LLC: Okay, okay. And then lastly from me, given the competitive bankruptcy again of last year and you mentioned some of the attrition in China this year, if we have another year like this one from a profitability and volume angle for competitors, do you think there is going to be a lot more attrition and opportunity for you to gain share and maybe pick up some depressed assets or how do you think about that going into 2017?
Samuel F. Thomas - Chart Industries, Inc.: I think that's a very definite possibility, although I have learned over time to – that it's very difficult to predict how long it takes a competitor who is financially troubled to throw in the towel.
Matthew Trusz - G.research LLC: All right, great. Thank you for your time.
Operator: Thank you. Our next question is from David Cohen with Midwood. You may begin.
David Eric Cohen - Midwood Capital Management LLC: Yes. I guess I was just hoping to understand better the logic of the inclusion of the warranty expense reversal in your adjusted numbers as opposed to actually backing that out in some form.
Samuel F. Thomas - Chart Industries, Inc.: I guess I'm challenged to respond because we debated the same issue. And it comes down to – we're certainly encouraged by the SEC to highlight and report GAAP numbers and that settlement is clearly included in GAAP numbers. Having said that, we covered it by giving as much clarity as we could as to the magnitude of the settlement, its impact on our EPS and the way we treated it.
David Eric Cohen - Midwood Capital Management LLC: And as we look forward what sort of – how should margins fall out in that segment gross or operating in terms of some normalized level of warranty? So I mean – I guess what sort of the excess that's caught up here that's having a disproportionate impact on this quarter?
Samuel F. Thomas - Chart Industries, Inc.: The impact is clearly stated and we've stated what the gross margin would be without the settlements included. And you should also consider that we've reported several successive quarters of improving gross margin. I think the opportunity exists for us to continue that improved gross margin in that segment.
David Eric Cohen - Midwood Capital Management LLC: And how much will now lower levels of warranty expense help margin going forward?
Kenneth J. Webster - Chart Industries, Inc.: David, one comment I'll make to you is our warranty expense as a percent of sales in the last couple of years in the BioMedical business have been running probably in the 4% to 5% range.
David Eric Cohen - Midwood Capital Management LLC: Okay.
Kenneth J. Webster - Chart Industries, Inc.: Year-to-date, where we are today is about 1.5%. We would expect that rate to be our go-forward rate in the future.
David Eric Cohen - Midwood Capital Management LLC: All right, thank you.
Operator: Thank you. Our next question is a follow-up from Chase Jacobson with William Blair. You may begin.
Chase Jacobson - William Blair & Co. LLC: Hi guys, two questions. The first is if you can give any detail on what manufacturing and industrial did within D&S? And then the second question, Bill I don't want to let you off the hook here. When you're looking at incremental cost savings opportunities into next year, I know you're still going through the plan. Are you looking more at just straight traditional cost savings like facility consolidations, lower head count or is there also some element of a change in the way that chart does business in one or any of the segments?
William C. Johnson - Chart Industries, Inc.: So I think there is a – the answer to that is yes, there is a little bit of both. We certainly – we noted in the comments that we're going to be initiating some restructuring in the fourth quarter. And that will be accretive in 2017. There are number of those actions being planned. I think there is also a lot of other productivity type initiatives that we're looking at some capital – deploying some capital and some new equipment on processes to automate certain things. So I think there is a little bit of both.
Samuel F. Thomas - Chart Industries, Inc.: I would add that there is – that we are from the standpoint of view, your questioned whether Chart is going to the market differently. The lessons that we're learning in the E&C Lifecycle business are also being applied to our industrial and industrial gas business and the LNG downstream activities. So that we – we believe we are becoming more astute – understanding our value proposition, delivering a better value proposition to our customers and hopefully we'll get topline growth in addition to productivity improvements.
Operator: Thank you. And I'm showing no further questions at this time. I will like to turn the call back over to Sam Thomas for closing remarks.
Samuel F. Thomas - Chart Industries, Inc.: Thank you. Through our regional and product diversification, we're able to minimize the current challenging market for our E&C segment and Asia D&S business. As Bill mentioned earlier, we will focus on setting concrete growth and productivity initiatives to drive further improvement in the organization over the coming year. We're more than holding our own against the backdrop of energy market challenges. We are poised to hit the ground running when the energy market returns. We continue to actively work to grow our sales and profitability irrespective of energy market headwinds. Thank you everyone for listening today. Good bye.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation. And have a wonderful day.